Operator: Ladies and gentlemen, good day, and welcome to the Infosys Earnings Conference Call. As a reminder, all participant lines will be in the listen-only mode. And there will be an opportunity for you to ask questions, after the presentation concludes. Please note that this conference is being recorded. I'll now hand the conference over to Mr. Sandeep Mahindroo. Thank you, and over to you, sir.
Sandeep Mahindroo - Infosys Ltd.: Thanks, Karuna. Hello, everyone, and welcome to Infosys' earnings call to discuss Q2 FY 2018 results. This is Sandeep from the Investor Relations team in Bangalore. Joining us today on this call is Non-Executive Chairman, Mr. Nandan Nilekani; Interim CEO and MD, Mr. Pravin Rao; CFO, Mr. M. D. Ranganath; Presidents and the other members of the senior management team. This call is for 90 minutes and will be split up into two parts. The first part will begin with Mr. Nandan Nilekani giving some updates on the board matters, followed by which, we'll open up the call for questions to Nandan on the areas that he talked about. This part of the call will be for 30 minutes. The second part of the call will be for 60 minutes and will commence with opening remarks by Pravin and Ranga on the performance of the company during the quarter. Subsequent to which, we'll once again open up the call this time to the management team for questions. Please note that anything which we say, which refers to our outlook for the future is a forward-looking statement, which must be read in conjunction with the risks that the company faces. A full statement and explanation of these risks is available in our filings with the SEC, which can be found on www.sec.gov. I'd now like to pass it on to Mr. Nilekani.
Nandan M. Nilekani - Infosys Ltd.: Thank you, Sandeep. And good morning, and good evening to everyone on this call. It's really great to be back on the call talking to you. I spoke to all of you last on 25th August, when I had just taken over as the Non-Executive Chairman and during that call, I had outlined various priorities that the board would focus on. So, let me give you an update of that as well as the – what basically came out of the strategy refresh. In terms of the process of identifying the next CEO, that process has begun and a series of actions are being taken on that. And things are progressing well, and we will get back to all of you once we have a decision to report on that matter. On the shareholder consultation. One round of meetings have happened with shareholders, and we have paused that and the second round will start after our results and we expect to complete the shareholder reach – outreach either through meetings or through online questionnaire, and we hope to have the full report ready for you – for by January results. We had also said that the Nominations and Remuneration Committee would present a long-term governance structure, which they have presented a preliminary one in the board meeting today. We hope to have a final one by the time we meet in January. On the buyback, I think it's progressing as expected, and later on, our CFO Mr. Ranganath will give you more details of the status of the buyback. On the investigation into the Panaya matter and the Rajiv Bansal severance issue, we had said last time that the board under my leadership would conduct a detailed investigation and talk to all the investigators and find out what's happening, we've done that and you will see in our press release we have given a detailed statement of the outcome of that investigation. And finally, the company as you know has declared an interim dividend, which is as per the capital allocation policy of 70% of free cash flow being allocated for payouts. So that broadly are some of the decisions or progress reports on the various items that we had outlined in the 25th August meeting. Now let me come to you on the strategy side. I think, first of all, let me say that our management team led by Pravin have done an amazing job in a quarter, where there was a lot of events happening and a bit of turbulence and so on. The fact that they were able to remain on course, they were able to deal with the changes, they were able to deal with changes of the CEO, change of the Chairman, and performed so well, I think is a great accolade to organization and the resilience and strength of our people. So, I think as I finish this part of the call, in the second part of this call, you'll be able to engage with management and they'll talk about the performance of the quarter and anything else that is relevant on that. But one of the other things, we did this quarter and this was done as part of the commitments we had spoken was that we did what we call the strategy refresh. And the strategy refresh was really to understand exactly what we need to do, whether we're doing all the right things, whether we had to do something differently, whether we have to change the emphasis and so on. And I'm really delighted to say that we had an excellent strategy refresh, which has now given us complete clarity on what we need to do going forward. This strategy refresh was done in a very collaborative and consensus driven way. It was conducted by Deepak Padaki, who is the Head of Strategy. We had the Committee of Directors, Mr. Ravi Venkatesan and Mr. Prahlad, actively engage in this process. And of course, all the Presidents, Ravi Kumar, Mohit, Rajesh were all involved, Ranganath was involved, everybody was involved in this, and we also reached out to all the senior leadership, the top people who do sales, the top people in delivery, the top people in business enabling functions and so on. And finally, after conducting hundreds of interviews and getting the feedback and also talking to our customers, our management team had a three-day conference about 10 days back, where they met and really thrash it out. So, let me explain briefly what we see is happening. As you know, our business is providing business and IT services to the world's largest corporations, many of whom are market leaders in the segments that they serve. And as you know, our strength has been the long-term strategic multi-year relationships that we have with these companies, and that we play such an integral and essential role in their journey and their use of technology. That is really the core strength. And just this morning, we had a customer survey feedback, and we were really delighted to find that our customers ranked us very highly for the quality of services that we offer. Now, we know that our customers who are these large companies across the world, Fortune 500 or Global 2000 companies are facing various simultaneous and disruptive challenges. They are being disrupted by digital competition, their new tech-savvy digital competitors, and there is a rapid substitution of legacy products with new technology. The big change in the last 10 years has been the rise of the consumer-led innovation with the iPhone and Android phones and so on. And 15 years back, businesses did the innovation and then it came to consumers, but today it's other way around, innovation happens with consumers, and then these migrate to the business. And now therefore, a big part of the challenge that our customers face is how to provide their employees and their customers the same digital experience, ease of use that they get used to on the apps on the phones. So that's a big challenge that our customers face. The other big development has been the rise of distribution. So, many industries, be it media, be it television, filmmaking, those who have customers are the people who have control, and therefore you have people, who have distribution to a wide number of customers and then leveraging that to build content or to channelize content through that distribution channel and make money through subscription or advertising. Then, of course, we've seen the rise of Internet of Things, centers everywhere. And the whole role of data in transformation and database business models have become very big in the last 10 years. And the thing about data is that it has a winner-take-all behavior, where those who have more data can understand more about their customers, those who understand more of their customers can design new products and services for these customers. And then, they – because the products and services are so well designed, they get additional customers. So, data is a virtuous cycle, and therefore, the nature of business is changing because of data. Also, with the rise of machine learning and deep learning, it's possible to run these machine learning algorithms against large troves of data to draw insight. And to that extent, domain knowledge itself is getting commoditized. And then, we are also in an era, where applications developed by our incumbent customers originally designed to be behind the firewall are now being exposed to the Internet. And if these are not adequately secured with encryption and so on, they are likely to be cyber security issues and hacking and so on. So, a big challenge is how do you ensure that new systems are designed with rigor and old systems are made more secure through various interventions. And then, of course, we're seeing new technology platforms emerging like clouds, AI platforms and so on, and our customers are facing the challenge of how to get more for the dollars they spend on technology, even as they are adding budgets to the spend, they are looking at how to become more efficient. So, verily, we see two things happening for us, one is a huge demand for new services, and later on my colleagues Ravi Kumar and others will talk about how new services are really growing at a great pace. And therefore, our job is to build these new services, make them hugely grow very fast and provide the growth for the future. At the same time, our customers who are investing are trying to make sure that their investment in their traditional services is optimized, so they want to use more automation and more streamlining, straight through processing, process automation and so on. And therefore they're simultaneously looking at us to provide new services, as well as make sure that the earlier traditional services are automated. So, we are facing both these challenges, at the same time. We also have the issue that how do we think about solutions, how do we think about our services. And there we believe strongly that our strategy of software plus services is very valid, because it's not about services alone, it's about having a platform, which is basically built using a lot of open source components, and then put together to a harness which puts all the components together, and then configuring these products to solve specific needs of our customers. And that's exactly what we are doing with the NIA platform. We have done a detailed thorough analysis of NIA, both internally and externally. There are many good things, there are things that need to be improved and we are working systematically on improving them, so that they can be scaled up and made applicable to a large number of our customers, as well as the way we approach it to our customers, the go-to-market we are looking at how to make that more efficient. So we are completely committed to the software platform or software product plus services model, but the important thing is that we are looking at complete integration between the two, because ultimately, it's about our customers who are wanting these large transformation, combining the products, combining our various services and actually transforming, and that is really where the big opportunity for us is. And so, we expect to do that very well. We're also seeing that a big challenge for us will be reinventing and reskilling our people. We have to – just as we modernize and offer new services, it's important that our team, whether they be the people in the front in sales or the people in delivery or the people supporting business or the people in consulting, they all have to be completely up-to-date and current with the latest trends in technology, software architecture, open source, machine learning, analytics, whatever it is. And therefore, having a very agile anytime, anywhere learning platform is something that we think is key to our competitive advantage and we have a team working under Tan Moorthy and Thiru (12:56) fundamentally to see how our learning platforms can be completely upgraded so that people can get access to learning wherever they are, on whatever device they have, for whatever length of time they're free. So all these things are being put together. We are also looking at how to make sure the organization more agile, because our customers expect us to solve problems quickly to be able to respond to market needs, to be able to prototype and offer solutions and then, rapidly iterate them to use new kinds of integrated DevOps, where software is released every day and there's a full automated testing of it and single version control on the cloud, lots of things of that nature have to be done, and we're looking at doing that. And I think we are looking at how to get our leadership fully aligned so that we get our customers going forward. So I think this is something which has been done. Specifically, we are rapidly scaling up our new digital services, as you can see, this and later on when you speak to management, they will show you how there is rapidly growing double-digit quarterly growth in our new digital services and they're rescaling at the same time. We are evolving our platform. So, we are looking at how our flagship AI platform, NIA, along with the automation platforms of AssistEdge, how they can come together to create a complete range of automation and machine learning capabilities for our customers. And we have today a large number of places where we are looking at both where they are being used, either being used to solve some problem or they're doing proof of concept, and we're taking a systematic look and see how we can scale that across the company. We're also integrating and evolving our design capabilities so that we can accelerate the digital businesses. And we have – as I said, when I began, our strength is trusted relationships which have spanned multiple years with some of the world's largest and most iconic companies. And I think the fact that we have these relationships, the fact these relationships have often lasted for decades, and the fact that these customers come to us for a significant part of what they have to do, is really the source of our strategic advantage. And we believe that as we continue to offer them more and more of the new kind of services, as we are able to give them the kind of thinking and ability to configure, and put things together to transform themselves, we only will see more growth with these customers. At the same time, our new way of doing things with this combination of software and services will also be enable us to get access to customers who are not currently with us. So, it's both our ability to grow our business with existing customers, as well as a way for us to differentiate as we get new customers on board. And increasingly, what we are finding is that the kind of solutions we have to offer have a significant impact on business outcomes. And therefore, we are able to see how we can offer these as business solutions, where it's not just about technological cost saving, but making an impact on customers or increasing sales or increasing profits or whatever it is that is required by the customer on the business side. Let me also say that we are embracing automation aggressively. We have both automation in our services to offer our customers business transformation opportunity, as well as automating our traditional services so that our customers are able to get better value, we are able to get better value and we can remain competitive, they can become more productive. So, we have a complete initiative now to not only just look at automation in pockets, but how to apply it across the firm. And then, we are also addressing diversity, we have now a plan. As you know, we announced a plan to hire several thousand people in the U.S. We are setting up local hubs. We're working closely with the U.S. state governments and doing that. And that is another big differentiation that we are seeing that our customers are also welcoming our initiative to do this and want to partner with us to leverage these kind of centers that we have, which are also in the same time zone and which give them rapid flexibility. So I think we are very excited by what we are doing. We have taken complete stock of our product thing. We're bringing the NIA and Edge platforms together. We're looking at all our other investments, be it in Finacle, Panaya or with Skava. So we'll continue to push that, but we look at more closer integration between our products and our services so that the combined thing gives us the solutions that our customers want, and the key thing is integration between the two. So, I think this is a strategy, which has come about by a process of both top-down and bottom-up work. It's a strategy which everybody has bought into. And we have a sufficient depth of technology, engineering and management expertise to execute on the strategy. So, we are very excited by the possibility of the future. And I think when we talk to you again in January and then in April, we'll be able to report more progress on this implementation. But the good news is that we have a complete alignment among all our internal and – stakeholders to work on this. So now, I'll stop and take questions on any of the board decisions and updates, as well as anything on strategy. And I'll do that for about 10 minutes, and then I'll hand over to Sandeep to then continue the call with management. So now, I think, Sandeep, we can open it up for questions, but let – my request to you is, the business performance questions, please reserve that for management, and limit your questions to me on board issues, governance issues and the strategy I just outlined. Question and Answer Session
Operator: Thank you, sir. Ladies and gentlemen, we will now begin with a question-and-answer session. Thank you. First question is from the line of Anantha Narayan from Credit Suisse. Please go ahead.
Anantha Narayan - Credit Suisse Securities (India) Pvt. Ltd.: Yeah. Thank you. Good evening, everyone and, Nandan, belated Diwali wishes to you and to the management team. I had two questions. My first question, Nandan, was on the strategy that you just outlined. So, as we went through this strategy refresh process, were there any elements of the strategy under Vishal, which were significantly modified?
Nandan M. Nilekani - Infosys Ltd.: Yeah. I don't want to get into a comparison of strategies. I think the experience that all of us have had is how to build a strategy, which is built both bottom-up and top-down. And so we have done that systematically. We have looked at elements, we have been very agnostic, where there is something good, we have kept it, where there's something which is not working, we have said this need not be done, where there's something good and needs work to be done, in tuning it, we are doing that. So, a lot of that is that kind of stuff. And I think the important thing is our clear commitment to extend this, scale it across the company and execute well. That's fairly, I think, for a large services company like Infosys with $10 billion dollars in revenue, annual revenue, and 200,000 employees, how do we take this out to everyone, how do we make sure the customer in New Zealand or in Dubai has access to this, how do you make sure that every employee has access to the latest skills. These are really fundamental block and tackle issues that had to be done at scale and speed. And we really looked at that, identified any gaps and also made sure that our alignment between product and service is very tight, because finally the customer doesn't really care which part of the solution is a product, which part is a service. He doesn't care which part is an open source product, which part is a proprietary product. All he cares about is our ability to configure these various things and provide him business benefit. And I think that requires huge amount of coordination internally between our various service owners, between our sales team and between our product guys. And that is something we are focusing on.
Anantha Narayan - Credit Suisse Securities (India) Pvt. Ltd.: Thanks, Nandan. And then, my final question was on the review of investigations. So have you or the board, had a chance to engage with Mr. Moorthy after this process was completed, and is he now sort of completely satisfied with the review?
Nandan M. Nilekani - Infosys Ltd.: I think that's a question you need to ask of him.
Anantha Narayan - Credit Suisse Securities (India) Pvt. Ltd.: Okay. Thank you.
Operator: Thank you. The next question is from the line of Edward Caso from Wells Fargo. Please go ahead.
Edward S. Caso - Wells Fargo Securities LLC: Hi. Good evening. Thank you. I was curious if the company's approach to mergers and acquisitions might change, may accelerate or reduce. It sounds like maybe you're trying to step up the pace of shifting the company to be more digital and lot of your competitors have used acquisitions to do that. If you could give us your thoughts? Thank you.
Nandan M. Nilekani - Infosys Ltd.: Sure. I think that's a great question. I think absolutely you're right. Our endeavor now in the next 12 months to 18 months is to accelerate our pace of change to aggressively embrace automation both for the traditional services, as well as use automation to make our new services more compelling. And so that's the fundamental driver. Now, you have to realize that if we have to do that, we also need to make sure that the current organization is capable of delivering on it, which is why we need to invest in learning, education, training, building new products, service, et cetera. So that part has to be done anyway. In addition to that, if there is some acquisition which is going to help us to accelerate this, absolutely, we will make those acquisitions. But those acquisitions have to fit into the strategic envelope that we are talking about. And I think you will see that this time, we did one acquisition on the Design side. So absolutely, if there's a particular part of the – piece of the puzzle, which requires a company which is there, which has the right knowledge skill set, technology or whatever, and if that fits in and that's going to accelerate it, definitely we will do acquisitions.
Edward S. Caso - Wells Fargo Securities LLC: Great. My other question is, to be honest, I really didn't hear any change in strategy. So I'm a little confused on that. Is it a little less biased to sort of a software aspect than maybe in the prior administration, if you could get some sense on that? And the company's center of gravity was sort of shifting to Silicon Valley, is it now going to shift back to Bengaluru? Thank you.
Nandan M. Nilekani - Infosys Ltd.: Well, I think, you know, when you talk about strategy at this level, a lot of it is how to execute that at scale and speed, how to integrate it across the company, how to bring different parts together, et cetera. And I think it's not something – I mean, it looks superficially the same, but actually reality when you get into the details, the nuances come out, but I won't really be able to get into all those details. The second thing is that, I think our Palo Alto – Palo Alto office continues to be a very vital part of our future. We see Palo Alto office as a listening post to the latest developments in technology happening in Silicon Valley about the latest developments in machine learning, AI, deep learning, virtual reality, automated reality, self-driving cars, whatever it is, that's coming out of that area. So we will have a strong presence in the Valley. We will have a strong team of long-term horizon technologies looking at the latest developments. We will also have a process by which as and when we understand these new technologies, we will have a process by which we can bring them to our enterprise customers and so how they can use this well. Because the real challenge is how do we take these technologies that are emerging and how do we use that to create business benefit for our customers. So, I think our presence in Palo Alto will be a very critical presence going forward, and we'll have the right team and the right leadership to take advantage of that location.
Edward S. Caso - Wells Fargo Securities LLC: Thank you.
Operator: Thank you. Next question is from the line of Keith Bachman from Bank of Montreal. Please go ahead.
Keith Frances Bachman - BMO Capital Markets (United States): Yeah. I want to try to follow on Ed's question in a different way. Your current revenue growth is around 5% constant currency and you're guiding revenues, round numbers, to 6% constant currency. Is that a level that you're satisfied with? Because it seems to be underperforming the industry. And the corollary of that is if you're not satisfied with that level of revenue growth – and that was the FY 2018 guidance rather you know plus or minus 6%, call it for round numbers, how do you anticipate changing the revenue growth rate to improve it and/or emulate what would be the growth rate of your competitors?
Nandan M. Nilekani - Infosys Ltd.: We're satisfied with the performance, I think we delivered excellent growth and very good margins. Obviously, we have to look at what we've achieved in the first half year and look at what we expect to achieve in the second half and the guidance is based on that. But the important thing is that we are investing a lot of our time and energy in building the capabilities, building the pipeline for the future, and I think that's what you'll be seeing in the coming months.
Keith Frances Bachman - BMO Capital Markets (United States): Sorry, just to push back. How are you concluding that the revenue growth that you just reported and the guidance is excellent? If the constant currency revenue growth is 6%, is that what you think industry growth is?
Nandan M. Nilekani - Infosys Ltd.: I think – first of all, I think as you know, we had a quarter which was fairly eventful. We hired a change at the CEO level. We had a change at the Chairman level. We had a third of the board resigning and so on. So...
Keith Frances Bachman - BMO Capital Markets (United States): Yes.
Nandan M. Nilekani - Infosys Ltd.: ...we had lot of turbulence right in the middle of the quarter. I think it is to the credit of our management team under Pravin's leadership that they continue to focus on customers, deal with any questions customers raise, continue to win new deals. So, yes, I think in the circumstances, I think it's an excellent performance.
Keith Frances Bachman - BMO Capital Markets (United States): Okay. Fair enough. Then just...
U. B. Pravin Rao - Infosys Ltd.: This is Pravin here. I would like to add, I don't think we have really underperformed. If we look at both quarter one and quarter two, on the constant currency basis, our growth has been higher than our peers, majority of our peers. Even in quarter two, couple of our peers have announced their results and our constant currency numbers which we announced today is higher than what has been reported by our peers. So I wouldn't agree that our performance – industry growth rate is anyway high (29:05) at the end of the year. At the beginning of the year, there were some sense of what the industry growth rate would be, and at the end of the year, you will really see where we will land. So we'll have to just wait and watch.
Keith Frances Bachman - BMO Capital Markets (United States): Okay. Fair enough. Many thanks.
Operator: Thank you. We have the next question from the line of Viju George from JPMorgan. Please go ahead.
Viju K. George - JPMorgan India Pvt Ltd.: Yeah. Thank you for taking my question. Nandan, I was just curious about this integration you talked about between products and services. What does this mean? Does this mean that while products are important as platforms, they may not really have an independent mandate, you know in so far as they may have had in Vishal's time, and what's the interplay you're seeing with services there?
Nandan M. Nilekani - Infosys Ltd.: No, I think it depends on the product. For example, we have a product like Skava which is for digital e-commerce, mobile-first and all that, and that would require both independently that being sold, because that requires a particular type of product sales approach as well as integrate it as part of some combined offerings, so that's – that would be true of say something like Skava. On the other hand, something like NIA, which is really a platform of reusable open source components put together with a harness of scaffolding of development environment tools and which has very good capabilities on data analytics, machine learning, that is more likely to be provided along with a set of services, because our customers will expect us not only to provide those capabilities, they would expect us to provide those services, so that we can take a particular business problem and solve it. So, I think it depends on the product. Some products will have both standalone sales as well as integrated sales, some products are more likely to be part of only integrated sales.
Viju K. George - JPMorgan India Pvt Ltd.: Sure. Thank you. And just as a follow on, in several of these products, do you think that product architects people capable of go-to-market for these products, that talent comes – can come from within Infosys or do you think they have to necessarily come from product companies like Vishal had attempted to do?
Nandan M. Nilekani - Infosys Ltd.: Oh, absolutely. One of the things, I've now been 60 days here and I've spend a lot of time. I'm very happy to see the talent depth in Infosys. There are thousands of people, who have experience in open source, there are thousands of people doing Data Scientist work, there are thousands of people with cloud experience, there are hundreds and – hundreds of people with architecture expertise. And also I think you must realize that the architecture requirements in this new world are not necessarily the way traditional products were designed. The architecture requirements in the new world require deep understanding of open source and scale. I mean, I don't know whether you guys know, but when they build the Aadhaar platform, which has a billion people on it, it does 1.5 billion transactions a month, it was entirely built on an open source stack. So I think, we know the people, who do these things. We have many people in Infosys who do that. I'm very comfortable that we have a deep managed manageable talent technical bench to do the new kind of technology architecture. At the same time, if on any particular dimension we need people, which who we can do either through hiring or acqui-hiring or so on, we will do that. There is no issue.
Viju K. George - JPMorgan India Pvt Ltd.: Sure. Thank you, and all the best, Nandan.
Nandan M. Nilekani - Infosys Ltd.: Thanks.
Operator: Thank you. Next question is from the line of Joseph Foresi from Cantor. Please go ahead.
Joseph Foresi - Cantor Fitzgerald Securities: Hi. My first question is just maybe you can give us an update on the search for the new CEO. And then along those lines, do you feel like this is given the strategy refresh going to be somebody who has to have a software background?
Nandan M. Nilekani - Infosys Ltd.: Well, I think first of all let me say that, we have a very elaborate and exhaustive process on the CEO selection. The process is anchored by the Nominations and Remunerations Committee Chaired by Kiran Mazumdar-Shaw, the Chairman of Biocon and she's assisted on that by – with Mr. Prahlad, Mr. Ravi Venkatesan and Mr. Sundaram and they've done an excellent job of identifying what are the attributes of the CEO as well as systematically meeting many prospective candidates both internal and external. So I think that process is going well. I would hesitate to give you a timeline for this, because as you know this has – there are many steps in it, but you know I think I'm satisfied that the process is being done thoroughly and we can take it to closure in a reasonable amount of time. In terms of the person itself, I think we have prepared a ideal list of attributes and we'll have to take it as it comes and obviously knowledge of the software would certainly be one attribute, but there are other attributes too, as you think about it, because it's about leadership, it's about transformation of an organization, it's about customer connect, so lots of dimensions that we've identified in our search.
Joseph Foresi - Cantor Fitzgerald Securities: Got it. Okay. And then it sounds like the strategies to maximize the digital opportunities, while increasing productivity on the maintenance side. Is that still the case and if it is, that strategy is fairly similar to some of your competitors. So I'm wondering, how your strategy you feel differs from those competitors? Thanks.
Nandan M. Nilekani - Infosys Ltd.: Well, I'd – yeah. First of all I think, you know, that, that aspect of strategy, which is increasing your share of revenue from new high growth services which are in demand and automating your traditional services, I mean that, there is no other strategy, that's the only thing that large services companies have to do. The question is, A, how well you can execute on that, how well you are able to reposition yourself to be considered as a provider of new services, how well you are able automation in both the old and the new? How well you're able to reskill and reinvent your people to be able to deal with this challenge and so on? That's where the real challenge is, not in the – it's not in the 2/2 metrics or something. At the same time, I think because of our investment in NIA, we think that – and with certain tweaks on NIA, because there are certain things – and I'm doing another review of it on Monday. I think there are a lot of good elements. There are some things we have to do differently. So we will look at doing that. So I think the fact that we have invested in a AI platform using latest open source components, which have built in machine learning, data extraction, data analytics tools, I think gives us a serious competitive advantage, which we have to take it to the next level to realize those benefits, but that's what we're committing to doing now. So, I think the broad strategy, which is automate the old and build high growth new services, that everybody will have. How well you execute and how well you have built the intellectual assets to do it, that is going to be the differentiator.
Joseph Foresi - Cantor Fitzgerald Securities: All right. Thank you.
Operator: Thank you. Next question is from the line of Diviya Nagarajan from UBS. Please go ahead.
Diviya Nagarajan - UBS Securities (Asia) Ltd.: Hi. Thanks for explaining your strategic initiatives. I'm kind of trying to approach it from a slightly different angle here. There were two elements that we had to the software plus services model. One was to kind of build software in-house through a set of people, many of whom have left the company in the last say 12 months. The second was M&A, and I did hear you talk about potentially accelerating that, but one, given where things are today, how do you think we can get this strategy back on track? That's first part of my question. And second, I think well, the ideal is to kind of build a software plus services model. This is something that we've heard from services companies, including Infosys in the last several years and success in this has somehow been elusive. What do you think that we need to do differently this time to kind of succeed in actually building a successful software plus services model?
Nandan M. Nilekani - Infosys Ltd.: I think, not only the strategy is on track, what you will see is an acceleration of what we're doing. So I don't agree with this not being on track kind of thing. We have ample talent. We have people who have experience in building these things. Many of the projects we are doing today use these sophisticated approaches, the GSTN architecture is state-of-the-art. So I think we have a lot of capability and I have no doubt that our people will be able to do that. So I'm very comfortable that the strategy is on track, and if – and anything we're going to accelerate this whole thing. On the other thing, finally it boils down to how well you can execute. I mean, how well do you articulate your value proposition, how well your build the software plus service approach, how well you solve the internal problem, so everybody is aligned, how well you reskill your people, et cetera, et cetera. So I think finally, it boils down to how well you execute. And I'm confident that Infosys with its ability to execute along with a CEO, who I'm sure will provide the right leadership, will be able to do this transformation in the next – in the coming years.
Diviya Nagarajan - UBS Securities (Asia) Ltd.: Thank you.
Operator: Thank you. I now hand the floor back to the management for further proceedings of the conference call. Over to you, sir. Thank you.
U. B. Pravin Rao - Infosys Ltd.: Thanks, Nandhan. Hello, everyone, and thanks for joining us on this call. I'll give you a brief update on our quarter two performance. As you're aware, quarter two saw significant changes in the company, at the management and board level. We responded quickly to these changes through proactive communication with all stakeholders, including clients and employees. This ensured that the impact on the business in quarter two was minimal. We continued our steadfast focus on the execution, leading to a satisfactory performance in quarter two. Our revenues grew sequentially by 2.9% on reported dollar basis and 2.2% on constant currency basis. We saw growth in all the four large verticals and delivered strong growth in emerging verticals like Energy and Utilities, Life Sciences, Transportation and Logistics. Volumes grew by 1.6% quarter-on-quarter, realization grew 1.3% quarter-on-quarter on reported basis and 0.7% on a constant currency basis. Both on a year-on-year basis, as well H1 over H1 of fiscal 2017, realization was flat in the constant currency that terms, reflecting stability in pricing environment, as well as continuous improvement in our service mix towards higher value offerings. In terms of service offerings, we had notably strong growth in infrastructure management, testing, and BPO services. Our new offerings in areas like cybersecurity, cloud, big data, IoT, et cetera again contributed to approximately half of incremental growth in quarter two, thereby improving their share further to 9.4% of revenues from 8.3% last quarter. We had another quarter of extremely strong operational efficiencies during the quarter. Utilization excluding and including trainees, reached the all-time high levels of 84.7% and 81.8%. Onsite, offshore mix improved during the quarter by 0.7%. Revenue per FTE improved to $52,684, which is a growth of 1.5% quarter-on-quarter and 3.3% year-on-year. Attrition increased marginally to 17.2% on a standalone basis and 21.4% on a consolidated basis. Effective July, we gave compensation increase to 85% of our eligible employee population in India. Effective October, we have also rolled out compensation review for middle management employees across India and some overseas markets. The compensation review programs for senior management and leadership levels and other overseas locations is currently in progress. During the quarter, we won five large deals with a TCV of $731 million, both the TCV of deal wins and share of new deals improved over quarter one 2018. For our software-led offerings in quarter two, Infosys NIA, our flagship AI and automation platform continued its positive momentum driving several deal wins. The platform has been leveraged across diverse business solutions, including loan onboarding, fraud management, demand sensing, predictive costing, contract compliance and procurement automation. We are working with more than 100 clients on close to 200 engagements and see tremendous potential for the platform and business solutions going forward. Coming to some of the verticals, in Financial Services, growth in quarter two was in line with our expectation. We expect seasonal softness in quarter three, driven by furloughs and spending cuts. On a mid-longer term basis, however, we remain optimistic about tech spend in BFSI and our strong competitive position, which is reflected in our large deal wins as well as pipeline. Manufacturing vertical is seeing some in-sourcing and cost optimization initiatives by a few clients. There is some pickup in activity in ERP space, driven by M&A in the sector in the last 12 to 18 months. High-tech companies are changing their business models to capture new sources of revenue. In Retail and CPG, non-discretionary spend are being impacted due to slowing growth, leading to cost pressures. On discretionary spend and new technology adoption, there is growing interest to embrace digital AI, RPA, analytics, et cetera. Telecom is seeing significant industry consolidation to achieve diversified product offerings and monetize the network traffic in a better way. Coming to digital, clients are looking at renewing their legacy landscapes and investing in customer experience, new commerce models, and in digitally connecting the enterprise. Digital experience, content management, field force management and digital marketing are some of the key trends we are witnessing across verticals. Retail and financial services industries are leading the transformation towards digital and are looking at consolidation of services, automation, improved customer experience and eliminating supply chain issues. This quarter, we further strengthened our digital expertise with the acquisition of Brilliant Basics, a London-based digital innovation and customer experience studio known for its world-class design thinking-led approach and experience in executing global programs. This acquisition extends our digital design services network to include Europe and Middle East and enhances our capability to deliver digital innovations. We further enhanced our global footprint by opening a new office in Netherlands. Additionally, we have made good progress in our commitment to hire 10,000 American workers over the next two years, and announced that we will open our North Carolina Technology and Innovation Hub in Raleigh. Beyond business as usual, Infosys has been inducted into the prestigious Dow Jones Sustainable Index (sic) [Dow Jones Sustainability Index], and is now part of the DJSI World and DJSI Emerging Market Indices. This recognition is a testimony to Infosys' corporate sustainability leadership in the IT services & Internet Software and Services industry. During the quarter, Infosys Foundation signed a Memorandum of Understanding with Indian Institute of Science, Bangalore, to enhance infrastructure and broaden research activities at the Center for Infectious Diseases Research at the Institute. Infosys Foundation USA continued its focus on training new computer science teachers, working with our grantees, Code.org and DonorsChoose.org. Foundation supported training of over 1,000 teachers at various locations across U.S. Coming to guidance, based on our performance in first half of the year and seasonal softness that we typically see in H2, we have revised our revenue guidance to 5.5% to 6.5% in constant currency terms. I will now pass on to Ranga to talk about the financial highlights.
Ranganath D. Mavinakere - Infosys Ltd.: Thank you, Pravin. Hello, everyone. Pravin has talked about overall stability on multiple dimensions. At the outset, I would like to highlight three key aspects of the quarter. These are; first, broad-based improvement in operational efficiency parameters; second, healthy and stable operating margin, net margin and EPS growth; and third, steps taken towards implementation of capital allocation policy. Our relentless focus on improving operational efficiency parameters continued to yield results in this quarter. We had continued improvement in multiple operational efficiency parameters like utilization percent, onsite mix percent, revenue productivity per employee, onsite employee cost as percentage of revenue, total employee cost as percentage of revenue, leading to a healthy and stable operating margin. Our operating margin for the quarter was steady at 24.2%. I'll be providing more details on this shortly. Net margin improved to 21.2% compared to 20.4% last quarter. Coming to capital allocation policy, several steps were taken during the quarter. As you are aware, during the quarter, the board approved the buyback of equity shares of the company amounting to INR 13,000 crores, approximately US$2 billion. Shareholder approval for the buyback of equity shares was obtained through a postal ballot and a public announcement was made on October 10, 2017 on buyback of equity shares. Draft Letter of Offer for the buyback has been filed with the regulators for their comments. The company announced today an interim dividend of INR 13 per share, approximately $0.20 per ADS as compared to an interim dividend of INR 11 per share announced last year. As announced earlier, the record date for both buyback and interim dividend is November 1, 2017. Now let me talk about revenues. Our revenues for the quarter were US$2,728 million. This is a sequential growth of 2.9% in dollar terms and 2.2% in constant currency terms. In rupee terms, revenues for the quarter were INR 17,567 crores. This is a sequential growth of 2.9%. As compared to Q2 of last year, revenues grew 5.4% in dollar terms, 4.6% in constant currency and 1.5% in rupee terms. When we compare rupee grow – revenue growth in half year, that is H1 2018 revenue as compared to H1 2017, the revenue growth was 5.7% in dollar terms and 5.5% in constant currency terms and 1.6% in rupee terms. Sequential volume growth for the quarter was 1.6%. As compared to Q2 of last year, volume growth was 4.7%. Pricing realization on a sequential basis improved by 1.3% in reported terms and 0.7% in constant currency terms. On a year-over-year basis for H1 of this year as compared to H1 of last year, which is a better comparison, pricing realization was flat. Revenue per employee improved further this quarter to US$52,684, a sequential growth of 1.5% and year-on-year growth of 3.3%. While our revenues grew 5.7% in H1 this year as compared to H1 of last year, the net head count declined by 0.7% during the same period. This is primarily on account of lower net head count addition due to higher utilization and productivity improvements. We ended the quarter with a total head count of 198,440, which is a decrease of 113 from last quarter. During H1 of this year, the net head count decreased by 1,224 employees as compared to a net addition of 5,785 employees in H1 of last year. Coming to operational efficiencies, utilization excluding trainees increased further to an all-time high of 84.7% as compared to 82.5% in Q2 of last year. You would recall that the utilization has been consistently above 80% for the last 10 quarters in a row. Efforts towards moderation in onsite mix has led to onsite mix decreasing to 29.4% in Q2, which is the lowest level in the last eight quarters. Onsite mix stood at 30.1% last quarter. Our focus on optimizing onsite employee cost, including a sharper focus on productivity, onsite pyramid and other cost optimization measures led to a decrease in employee cost as a percentage of revenue from 54.4% in Q2 this year from 55.4% in Q2 last year, a drop of 1%. Subcontractor costs as a percentage of revenue was 6.2% this quarter as compared to 6.3% last quarter. Subcontractor expenses are driven primarily by higher utilization and onsite talent demand. Our operating margin for Q2 2018 is at 24.2%, which increased sequentially by 10 basis points. Reduction in onsite mix helped margins by 20 basis points, improvement in utilization helped margins by 30 basis points, while improvement in price realization helped margins by another 30 basis points. However, this was offset by higher compensation costs due to compensation review in Q2 and higher variable pay, which put together impacted margins by 80 basis points. Other benefits including cross currency and cost optimization was partially offset by increase in provision for AR, increase in professional charges and impact of hedges, resulting in 10 basis points improvement as compared to Q1. Our earnings per share for the quarter was $0.25 representing a sequential growth of 7%, and a year-on-year growth of 7.3%. In rupee terms, EPS was at INR 16.30, showing a sequential growth of 7% and a year-on-year growth of 3.2%. Due to continued healthy cash generation, cash and cash equivalents including investments stood at an all-time high of US$6,340 million, which converts to INR 41,392 crores. As mentioned earlier, planned outlay for buyback is up to INR 13,000 crores, which approximately is US$2 billion. Further, outlay for interim dividend to be paid out during the quarter is US$524 million, including dividend distribution tax. Cash provided from operating activities as per consolidated IFRS was US$441 million and INR 2,831 crores. DSO for the quarter increased to 71 days as compared to 68 days last quarter. CapEx for the quarter was $63 million or approximately INR 406 crores. In H1 2018, operating cash flow increased by 8% in dollar terms and 3.6% in rupee terms. Free cash flow increased by 19.1% in dollar terms and 14.3% in rupee terms. Yield on cash for the quarter was 6.97%, as compared to 7.07% last quarter. Our hedge position as of September 30, 2017, was $1.4 billion. We reiterate our FY 2018 operating margin in the range of 23% to 25%. With that, we'll open the floor for questions. Question and Answer Session
Operator: Thank you very much, sir. Thank you. We have first question from the line of James Friedman from Susquehanna International Group. Please go ahead.
James Eric Friedman - Susquehanna International Group: Thanks for taking my question. Good evening. I'll just – I'm going to ask two upfront. One more strategic and one more financial. The first one is for Pravin, a more strategic. Pravin, could you comment in your opinion about how you view the relative strength of offshore versus onsite delivery at this stage in development of the company and the industry? That's the first one. And then Ranga, I'll just ask you a upfront. Thank you for the incremental disclosures. They were very helpful. I want to ask you about the commentary that you made with regard to the onsite pyramid. How should we be thinking about the journey of onsite costs as a percentage of total costs going forward? So the first one onsite offshore strategy and the second one were onsite offshore financials. Thank you.
U. B. Pravin Rao - Infosys Ltd.: In my mind, I don't think there is any difference between an onsite or a offshore thing. Typically, whenever a new service gets incubated and wherever it calls for a lot more understanding of the market or domain in which the service is being evolved are much more client interface, we do see lot more of onsite presence, where people are working closely with the clients in a co-creation mode and developing the solution. But once the technology matures or when the solution matures, then the opportunities for scaling and that's where you typically leverage your onsite and offshore model as well. So, I don't really see too much difference, both have a role to play. And also – there is also this element of talent and skill, I mean, today when you look at in-sourcing, lot of clients setting up their captives in India. The primary reason they're doing is not for on the cost perspective but more from a talent availability perspective, and that we continue to see on an ongoing basis. So it's – I'm not sure whether I really understood your question. But from our perspective, we work on a global delivery model, where there is a seamless integration between onsite and offshore, and depending on the services, the nature of work done onsite and the nature of work done offshore is also clearly distinct. Apart from that I don't see a much difference. I mean, there are times in the project lifecycle or in the service evolution stage you may have stronger onsite presence, but over a period of time, anything – we believe that anything can be executed in the onsite/offshore model.
Ranganath D. Mavinakere - Infosys Ltd.: Hi. Thanks, Pravin. On the other point, currently our onsite employee cost as a percentage of revenue is around 38%. I think the focus on the pyramid is – coming back to the pyramid question is really on how do we kind of look at the pyramid model onsite. For example, we recruited close to 300 people from the Euro universities, the freshers, and how do we infuse some of them into some of these projects is one aspect of looking at it. And the second one is also looking at the fixed price projects, due to the productivity improvements et cetera, how do we look at especially the senior roles in those projects and how do we kind of redeploy them in some other projects is another way to look at it. And the third aspect is also, we're evaluating the dollar contribution per employee at the senior roles and see is there a concomitant increase in the billing rates to reflect the underlying salary costs. And if that is not there in a particular project, could we look at that employee, senior employee getting billed at a better rate in another project either in the same client or a different client. I think we are looking at multiple approaches to this. At this point in time, I think there is no one lever we need to press and looking at all this. But one point that we want to ensure is that, we don't want to look at onsite remedy in isolation and it should not be looked in isolation to the revenue opportunities that we have onsite, I think we need to have a delicate balance between the two.
James Eric Friedman - Susquehanna International Group: Okay. Thank you for the details and the perspective. All the best.
Operator: Thank you. Next question is from the line of Ravi Menon from Elara Securities. Please go ahead.
Ravi Menon - Elara Securities (India) Pvt Ltd.: Thank you for the opportunity. So first question is about the realization improvement. You saw a nice increase in fixed price projects, as well, is this the key factor that has helped realization and should we say that the realization improvement is sustainable except for factors like fewer working days in Q3?
Ranganath D. Mavinakere - Infosys Ltd.: I think, you know, you're right. In the – this quarter of course, we had sequential pricing realization improvement of 1.3%. I think quarter-to-quarter, there is always volatility depending upon the – there are also certain projects, the recognition pattern is not really linear. But however, overall, I think a better indicator would be really on the year-on-year growth, how has the pricing performed. If you look at first half of this year as compared to first half of last year, we have seen a flat pricing in terms of pricing, which is also in a ways kind of as compared to earlier periods, typically, we used to have in terms of constant currency 1% to 1.5% decline in pricing year-on-year. But this half year versus last half year, it has been flat, to that extent, it is stable.
Ravi Menon - Elara Securities (India) Pvt Ltd.: And what would you say would be your optimal onsite, offshore effort mix? And you've already lowered the onsite ratio a little, do you think there is room to go further or do you think we are pretty much close to an optimal level already?
Ranganath D. Mavinakere - Infosys Ltd.: I think the way we look at onsite mix is really by service level, right. I think certain services are more amenable for onsite mix reduction, for example, some of the commoditized services like testing, for example or maintenance, for example, are more amenable. But some of the new services like the digital user experience, the agile or prototyping kind of work typically have a larger onsite competency, similarly consulting will have and so on. Our approach has been to see by a service line and this quarter from – it was 29.4% from the high of 30.2% last quarter, which is low in the last eight quarters. In the past, we've had about three years ago or so, we've had the on-site mix at 27%, around 27%. But it's not to say that look – that is what we'll immediately aim for et cetera. But I think this is a continuous journey that we have to focus on, service line by service line focus and see, where are the opportunities. I think it's really a grounds up exercise rather than the top-down exercise.
Ravi Menon - Elara Securities (India) Pvt Ltd.: Okay, great. Thank you.
Operator: Thank you. The next question is from the line of Shekhar Singh from Excelsyor Capital. Please go ahead.
Shekhar Singh - Excelsyor Capital: It was more related to the strategy, which Nandan outlined. Now if you talk of product type services, then what is the parameter or as investors that we should track now going forward, to see what is the sort of investment which is happening in this area and what is the outcome of it? And secondly, who will be a new competition as such?
U. B. Pravin Rao - Infosys Ltd.: See, on the software product type services, the parameters, I mean, some part of the product type services, we will probably be looking at more going into a SaaS kind of model. So, one of the parameters should be of, in terms of only for that piece of it, the amount of subscription revenue kind of thing. But today, as a percentage, it is very small percentage of the business, so at this stage, it may not make too much sense to track or have any inference around it, because given the small size, you will continue to have some volatility. But in the long-term, I think that would be probably the better measure from a product type services perspective. But in the short-term, I think, I mean, we continue to talk about the number of wins we have had, number of deals and that percentage of revenue contribution from software and that at least in the short-term to medium-term till we have some scale may be a better measure.
Shekhar Singh - Excelsyor Capital: And sir, just in terms of like, say, when we talk of products or product type services, software plus service, there are two things which again come to mind, one is, are we targeting any vertical or is it going to be more like a horizontal?
U. B. Pravin Rao - Infosys Ltd.: No, NIA is a horizontal platform, but we are really building vertical solutions on top of it. So, going forward, that will be the differentiator, because at some level, over a period of time, you will always have competing horizontal platform, difficult to monetize a horizontal platform beyond a particular point in time. Our view is to build vertical solutions on top of it and as I said earlier, we have seen some interesting use cases around fraud management, procurement optimization and so on using NIA. So more and more we do use cases across different verticals, we'll be able to get a better appreciation of the kind of use cases that it lends itself and it's in much in demand in those verticals and we'll be able to make it as part of our product going forward.
Shekhar Singh - Excelsyor Capital: Okay. And sir, lastly like can you give say any example of which company or which competitor of yours is what you'll look like maybe five years later or 10 years later with this change of the strategy?
U. B. Pravin Rao - Infosys Ltd.: I think we'll be Infosys plus-plus or whatever, so I don't think -
Shekhar Singh - Excelsyor Capital: Yeah, sure.
U. B. Pravin Rao - Infosys Ltd.: I mean, the landscape is changing, the competitive...
Shekhar Singh - Excelsyor Capital: Correct.
U. B. Pravin Rao - Infosys Ltd.: ...I mean nature of competition is changing, so it's difficult to predict. I don't think we tailor ourselves on any competition or anything. We have our own strategy. We continuously look at how we can differentiate from others and execution is a key element of it, because at a high level, more strategies may look similar, but at the end of the day, it boils down to execution. Our focus is more on making sure we do the right things in terms of execution. I mean, we will probably be Infosys plus-plus, but I don't think we'll be – we'll be aping or copying any...
Shekhar Singh - Excelsyor Capital: Yeah.
U. B. Pravin Rao - Infosys Ltd.: ...competitor out there.
Shekhar Singh - Excelsyor Capital: No, basically, I wanted like something like Salesforce or something like SAP?
U. B. Pravin Rao - Infosys Ltd.: No. I don't – I mean, both are in – SAP is a purely product, I think Salesforce is in some sense a software-as-a-service kind of thing, SAP is also morphing into it. We are more a services company whose services is enabled by software, so that is our difference. So, I don't think we should compare ourselves with an SAP or a Salesforce.
Shekhar Singh - Excelsyor Capital: Perfect. Great, sir. Congrats.
Operator: Thank you. Next question is from the line of David Grossman from Stifel Financial. Please go ahead. David, you may go ahead with your question, please. As there is no response from the line of David, we'll move to the next question, that's from the line of Moshe Katri from Wedbush Securities. Please go ahead.
Moshe Katri - Wedbush Securities, Inc.: Hey, thanks. This is a question for Ranga. Can you talk a bit about what's left in terms of some of the levers for sustaining your EBIT margin range? And you've done a really good job in terms of getting some of those benefits, but what can we expect for the next three to five years? Thanks.
Ranganath D. Mavinakere - Infosys Ltd.: Hi, Moshe. How are you? I think, if you recollect last eight quarters or nine quarters, we have been pretty much in this band between 23% to 25%, that has been the band – steady band that we have kept. There have been despite the pricing challenges and some currency and other – the compensation hikes and many other headwinds. I think this year, we clearly said it will be in 23% to 25%, because we have to invest in the U.S. talent model and so on. I think we – our focus always has been without diluting the business investments, without diluting securing our future whatever we need to do, what is the cost optimization that we need to do without hurting the business, that is both in the short-term and the medium-term, that has been our focus. Now if you look at the first two quarters and the half year, we're pretty much at 24.1%, which is the midpoint of 23% to 25%. In the short-term, I think, especially for fiscal 2018, we're comfortable in this range and as you know, the multiple levers, of course, the utilization is already at 84.7%. So I think the headway there is shorter than the other levers. We are looking at in a overall project plus, a project kind of approach, project focused cost optimization aggregating to our account level and then to the company level, the unit level and the account and the unit and the company level. If you look at the levers, I was alluding to earlier or referring to earlier, one is certainly we're looking at the onsite pyramid and over the last couple of quarters, we have seen some improvement there, including the hiring of about 300 to 350 fresh graduates in the United States from the campus as part of an American hiring program. And they're also getting very quickly deployed into the production projects. So that is one lever, which we want to kind of further optimize. And the second one as I was saying earlier in the fixed price projects, we are really looking at per employee dollar contribution at the senior levels and see whether it is concomitant to the billing rates that they're getting charged in that products and try to see how much of that could be realized at the higher level. Onsite mix is one which has both sides of the equation right, and typically when the onsite mix comes down drastically, it could have impact on the revenue because onsite revenue to offset $1 – on onsite, we need to kind of have three times the effort of offshore and so on. But there again, a judicious approach would be to look at the service level, some of the services are more amenable like testing and maintenance rather than consulting and some digital services. So, we're kind of looking at instead of saying that look, this is the only rework that we will do, we are looking at a project level approach aggregated to an account level approach, because each account profile and possibilities are different. So, each of the account managers and leaders have been tasked to be looking at this from all the three dimensions. Some of them probably could be using the pyramid lever more than the onsite mixed lever, some of them – someone else could be using an another lever. So we're kind of looking at. But to answer your question, I think in the short-term, we're comfortable with this band.
Moshe Katri - Wedbush Securities, Inc.: Understood. And then just also very briefly in your opening remarks, you spoke about account specific softness, and as one of the reasons you've reset guidance for the second half of the year. Can you elaborate on that maybe some color on verticals, that'll be helpful. Thank you.
U. B. Pravin Rao - Infosys Ltd.: Moshe, this is Pravin here. We didn't talk about any account specific softness. What we said is historically in quarter three, for the industry itself, it's a soft quarter. We have lesser working days. We have the impact of furloughs and so on. So it's nothing account specific or sector specific, the impact we typically see across all verticals. So that's what we meant. And from a guidance perspective, we looked at our performance in H1, then we looked at – I mean typical softness that we typically see in H2, we kept that in mind and looking at our own pipeline. And that is the basis on which we gave our estimates. I will just pass it on to couple of our presidents to give some color on the verticals. We'll have Mohit give some color on Financial Services and Ravi can also give some color on this, from a service line perspective.
Mohit Joshi - Infosys Ltd.: Thanks, Pravin. So, Moshe, I think, look, from a Financial Services perspective, as you'll see from the numbers, we had a good quarter. Especially in Insurance, we really had a knockout quarter this time around. And overall, I'm very happy with the progress that we made in terms of organic growth, in terms of traction in AI and automation software, new client acquisition. We added 13 new clients in the Financial Services space. We signed one – one of these account openings was a large deal, right. So we opened an account through a $50 million-plus deal. So that was good. I think, as Pravin mentioned, the second half of the year is a seasonally weak period for us. We see furloughs across the board, including in Financial Services. And there will be – as has been there in the previous years, end of the year budget squeezes for some clients, right. So we have tried to bake all of that into our guidance for the second half of the year. But as of today, if you see our performance for Q1 and Q2, it's been strong in the Financial Services, Healthcare, Life Sciences, across the board. And we are very comfortable with our competitive positioning, right. So, this does not – the guidance that we've given in no way reflects the fact that we are slipping. We feel that our competitive position is very strong in Financial Services, Healthcare, Life Sciences, and actually improving.
Ravi Kumar S. - Infosys Ltd.: Yeah. So I'm going to give you a cut on the services. Our new services, as you've seen in the fact sheets, has moved from 8.3% of revenues to 9.4%. So that's a reflection of how much wallet share we're gaining in the digital transformation agenda of our clients. It's an indication of how well we are doing on these newer areas. And a lot of it is pivoted on digital experience, API economy, cybersecurity, cloud migration services, enterprises cloud applications, Internet of Things, and data and analytics. These are the broad categories of where the new services are. We would see a significant growth in new services as we go forward and we hope that the percentage of our revenues continues to go up on it. Specifically, on the service lines, we had an extraordinary quarter for Business Process Management. In fact, we are powering it with a digital focus, re-imagining process experience, powered by innovation and automation. So that's taken off very well. Infrastructure Services has grown significantly this quarter. And this is a significant part of what clients are doing on migrating workloads to the cloud. So, overall, these are the areas where we are seeing great traction and in line with client spend.
Moshe Katri - Wedbush Securities, Inc.: Thanks.
Operator: Next question is from the line of Ashish Chopra from Motilal Oswal Securities Limited. Please go ahead.
Ashish Chopra - Motilal Oswal Securities Ltd.: Hi. Thanks for the opportunity. Pravin, firstly, just wanted to understand in the new services that you call out and divided into five or six service lines. Would it be fair to assume that a biggest chunk of that is really the cloud ecosystem bit and the others would be relatively small? Where I'm really coming from is the coinciding of the revenue contribution from there with the growth in IMS that we've seen in the last couple of quarters.
U. B. Pravin Rao - Infosys Ltd.: Yeah. So not really, I – cloud is an important part of the journey. In fact, a majority of the digital transformation agenda is driven by CapEx to OpEx shift of workloads, and migrating to the cloud is a fairly big part of the digital transformation agenda of clients. However, all the other areas, which I spoke about, are picking significant traction. API economy is an important part of a digital agenda, as you expose legacy applications and legacy systems for newer purposes. Internet of Things is very early, but it has a small installed base, but we all know that unstructured data around physical objects, machines is going to be the future. So it's going to pick momentum in the future, but it's a small installed base, most customers are experimenting, they're prototyping, they are platformizing their unstructured data, which is there between machines. So that has a runway I would say. Data and analytics is very mainstream now. It's probably all pervasive across industries, across domains. We see a huge traction out there. Enterprise cloud applications is the next big thing. A majority of our clients are moving from on-premise to – transitioning to enterprise cloud applications, either on their existing stacks like Oracle, SAP, or moving into new areas like salesforce.com, Workday kind of application, so Microsoft Dynamics. Dynamics has actually now come up with Dynamics 365. So, I would say there is a fraction in all quarters. Digital experience, the front-end of all the digital agenda – all the digital spend for our clients, while a significant chunk of it is in retail, but all the other industries are picking up momentum there as well. And so, there is, overall, quite a bit in areas which are not related to cloud migration as well.
Ashish Chopra - Motilal Oswal Securities Ltd.: Got it. Got it. That's helpful. And just lastly from my side, I had a question on the strategy shared earlier during the day. So just wanted to understand that while we've identified the areas of focus and the fact that execution obviously is the imperative, could you share the readiness or the glaring gaps across various pockets where you think that the need to – the challenges perhaps could be higher, could be the DevOps ready workforce, could be Automation or on the sales front maybe around Consulting-led Design Thinking-led sales, or maybe the business models around the whole product plus software services offerings? Really, where would you think we are really ready to hit the ground running versus where we still would have to really focus on building capabilities sooner rather than later?
U. B. Pravin Rao - Infosys Ltd.: So, I think from a services perspective when we look at services strategy, there are many areas where we have started making progress, and scaling that is in our DNA and we are extremely comfortable with it. We have always invested in education, learning, re-skilling and so on. So, there I think it's more a question of sharpening the focus rather than going after 20 different things, sharpening the focus, identify a few things and put your might in terms of scaling it. On the software side and the product services side, right now, we are seeing good traction and adoption from a horizontal capability perspective, but I think the future is if you're able to bring in vertical solutions on top of it. And that is where we are probably in the early stages and that's where we would probably need to accelerate our focus.
Ashish Chopra - Motilal Oswal Securities Ltd.: Got it. That's helpful, Pravin. Thanks and all the best.
Operator: Thank you. Next question is from the line of Jay Doshi from Kotak Securities. Please go ahead.
Kawaljeet Saluja - Kotak Securities Ltd.: Yeah. Hi. Pravin, I'm not absolutely clear on the rationale for guidance cut. Is it largely the deterioration in demand environment or is it the function of CEO exit and the consequent deduction that we have seen in the last few months? The second question I have is largely on the chain side of a business, which is platform, product, automation. A lot of these areas were handled by a team which was brought onboard by Vishal, and many of them have exited the company. So how is the management thinking about these exits? Are the rolls being reassigned internally? Are you referring to recruit externally? Just some thought around it. And finally, has there been any fine-tuning of the organization structure after Vishal's exit? And if yes, then can you just detail the key changes? By the way, this is Kawaljeet Saluja from Kotak.
U. B. Pravin Rao - Infosys Ltd.: Yeah. Thanks. So I will answer the last part first. There has been no organization or structural changes since Vishal left, so that's the easy one. The first part is the guidance is nothing to do with Vishal's exit. Guidance is actually based on – and we have always said it's based on what we see. If we look at our first half performance, we took that into account, we looked at our pipeline, we looked at the visibility and we also kept in mind, the typical softness we see in quarter three for us and rest of the industry, and in particular for us, in particular in quarter four, if we look back over the last few years, we have always for whatever reason had very minimal growth. So, we kept all this factors in mind and that's how we arrived at the guidance. The other data point you need to recognize is, I mean when we look at our own quarter-on-quarter – on the constant currency basis, based on whatever our peers have declared so far, our growth has been much higher and our growth on -in quarter one, as well on a constant currency basis has been higher, when compared to many of our peers. But if we look at historically, as a quarter two typically would have been a good quarter for the industry, but for whatever reason, this year, it seems to be a little bit unusual. Not only our growth, but our competition growth in quarter two has also been on a much lower side. So all these factors in some sense contributed to our revised estimate on the guidance and while we'll continue to endeavor to do better than the guidance, but I mean, today based on the reality, we felt that would be the appropriate one at this stage.
Kawaljeet Saluja - Kotak Securities Ltd.: Okay. And just some thoughts around the chain side sort of the business, the consequent exits that you have seen on the leadership side on that count and are you trying to replace that with external recruits or have the roles been reassigned internally? And just some thoughts around it? I guess that's the question I asked.
U. B. Pravin Rao - Infosys Ltd.: Yeah. See, I mean if you look at that the key people – some of the key people who left, we had Sanjay, who was heading our – what we call as a Corporate Design Group, but he used to handle multiple functions. So, we have redistributed the responsibility to appropriate people, who are already doing part of that function. So for instance, while Sanjay was earlier associated with Design Thinking, but subsequently we have very strong Design Thinking Practice, it is now integral to our Consulting Practice. And even our It is now integral to our consulting practice and even our ETA team are trained to teach people, Design Thinking, and our Consulting have always been using Design Thinking in their Consulting Services, particularly in the early stages of the Lifecycle. So that's all has always been integrated and mainstream, so we have not had any issues there. Sanjay was also responsible for our Corporate Design Group, with now we have – he's reporting to our marketing function and Sanjay was also responsible for some parts of the large deal, design and element of the large deal process, now that we have folded into our large deal group which earlier used to report to Mohit. So we have – I mean, Sanjay used to manage multiple things at a very high level. So we have been able to take pieces of it and logically assign it to where it made sense. On the product side, who had Pervinder who had joined us a few months back as CEO on the EdgeVerve side. He also – he left recently. He wanted to go back to his entrepreneurial roots, so there we have brought in Nitesh Banga, who is a – he's a 20-year veteran in Infosys, but most importantly, he has been integral to our product strategy from the beginning. He was part of earlier Product & Platform Group, which we formed during Shibu's reign and subsequently when EdgeVerve was formed much before Vishal came into onboard, he was part of it, he was heading the sales for Edge. And so we have brought him onboard as CEO, because we believe at least on the Interim CEO, because he brings in the context and he has been the most vocal champion and has been driving and pushing the software services that we have so far. We felt he would be the right person. So and for people like Abdul and Navin, the people under them are still part of Infosys, we've a strong team. So it's a mixed thing. So we have had a few exits, but we have been able to quickly replace them with very minimal impact.
Kawaljeet Saluja - Kotak Securities Ltd.: Okay. Thank you. All the best.
Operator: Thank you. Next question is from the line of Ashwin Mehta from Nomura Securities. Please go ahead.
Ashwin Mehta - Nomura Financial Advisory & Securities (India) Pvt Ltd.: Yeah, hi. Thanks for the opportunity. I had one question in terms of salary hikes. So are the onsite salary hikes done? And you indicated the middle management salary hikes would be given out in the next quarter. So if you can quantify the impacts of the residual salary hikes?
Ranganath D. Mavinakere - Infosys Ltd.: I think, you know, if you look at the salary hikes, we clearly said for junior employees up to mid-level, we will do effective July, which we rolled out and afterwards, all the operational efficiency improvements this quarter went into funding and most of the compensation hikes for mid-level to senior. I think we have covered most of the employees. Onsite, typically, we have people moving from here, there and it is also driven by the location preference – location of a employee, especially people in the production. So, they're all governed by, for ex – the prevailing wages as well as when they move from one project to another. For example, if somebody moves from Chicago to California, automatically, this salary get rebased to the California salary. So, there I think the primary focus is really the engagement driven, the location driven, and so on. However, for the senior employees there from sales, consulting and others, we are clearly effecting that to effective January of this year. So I think with that, we would have covered all the employees.
Ashwin Mehta - Nomura Financial Advisory & Securities (India) Pvt Ltd.: Okay. Fair enough. And just one follow-up on the BFSI side. We've actually seen BFS portions decelerate for you, while insurance has been pretty while insurance has been pretty strong. Do you see further runway in terms of insurance continuing to compensate for the BFS slowdown? What exactly is driving the insurance uptake for you?
Mohit Joshi - Infosys Ltd.: Well, I think look, the insurance business is relatively small for us. So we have a lot of headroom for growth. There is a degree of anti-incumbency in that sector as – and that gives us an opportunity. I think we've also been very strategic about entering the insurance space, not with standard sort of legacy solutions, but using the opportunity to let us say, work with clients to imagine the future of a Claims Administration System or reimage the building of a policy administration platform. We've worked with a number of startups and new players in this space who are taking creative solutions to clients. So I think we have a really well thought out strategy, and I believe that we will have headroom for growth in that business. We also have a platform there in terms of McCamish. We have strong BPO capabilities, emerging consulting capabilities, so I'm quite bullish about the future of that business. Our Core Banking and Capital Markets Business also is I believe quite strong. Obviously, there are variations that happen from quarter-to-quarter in that business. This quarter because the Banking and Capital Markets number also includes the Finacle number, and from previous quarters, there that business is slightly lumpy. So the number also appears to be slightly lower because of a negative impact of Finacle. Hopefully, that answers your question. If you'd like any additional color, I'm happy to provide that.
Ashwin Mehta - Nomura Financial Advisory & Securities (India) Pvt Ltd.: No. That's helpful. Thanks.
Mohit Joshi - Infosys Ltd.: Thank you.
Operator: Thank you. Ladies and gentlemen, this was the last question for today. I now handover the floor back to Sandeep Mahindroo for his closing comments. Over to you, sir.
Sandeep Mahindroo - Infosys Ltd.: Thanks, everyone, for joining us on this call. We look forward to talking to you again during the quarter. Have a good day.
Operator: Thank you very much sir. Ladies and gentlemen, on behalf of Infosys, that concludes this conference call. Thank you for joining us. And you may now disconnect your lines.